Operator: Good morning. My name is Chris, and I’ll be your conference operator today. At this time, I’d like to welcome everyone to the PulteGroup, Inc. Q3 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Jim Zeumer, Vice President of Investor Relations and Corporate Communications, you may begin.
Jim Zeumer: Great. Thank you, Chris, and good morning. I want to welcome everyone to PulteGroup's earnings call for our third quarter ended September 30, 2022. Joining me to discuss PulteGroup's third quarter results are Ryan Marshall, President and CEO; Bob O’Shaughnessy, Executive Vice President and CFO; and Jim Ossowski, Senior Vice President, Finance. A copy of this morning's earnings release and the webcast slides that accompany this call have been posted to our corporate website at pultegroup.com. We will also post a replay of today's call later today. As always, I want to alert everyone that today's presentation includes forward-looking statements about the company's expected future performance. Actual results could differ materially from those suggested by the comments we make today. The most significant risk factors that could affect future results are summarized as part of today's earnings release and within the accompanying webcast slides. These risk factors and other key information are detailed in our SEC filings, including our annual and quarterly reports. Now let me turn the call over to Ryan Marshall. Ryan?
Ryan Marshall: Thanks, Jim, and good morning. I suspect that throughout this morning's call, we will find ourselves delineating between the favorable demand environment that existed earlier this year, which drove PulteGroup's third quarter earnings versus the more challenging market conditions we're encountering today. Stating the obvious, the primary difference between the two periods is that mortgage rates have more than doubled since the start of the year to upwards of 7%. Our Q3 earnings reflect the benefits of the strong demand and pricing conditions that existed at the end of 2021 and into the first few months of 2022. The favorable demand and pricing dynamics, which existed at the time are reflected in the 15% or $71,000 increase in the average sales price of closed homes that we reported for our third quarter. Further, even with tight labor and a difficult supply chain, we were able to leverage this pricing gain into a 360 basis point expansion of gross margin and an almost 50% increase in earnings to $2.69 per share. Bob will provide more details on our third quarter results in a few minutes, but it is important to acknowledge the success and recognize the efforts of the entire PulteGroup organization in delivering these great results. If our income statement demonstrates prior demand strength, third quarter order and cancellation rates show the more challenging market dynamics we are operating under today. As we move throughout the quarter, you could almost see demand ebb and flow with the movement of interest rates. Softness in July's home buying demand eased as mortgage rates fell in August. The positive trend in demand was short-lived, however, as interest rates surged higher in September in response to Federal Reserve actions and hawkish commentary from Chairman Powell. The pullback in demand was widespread across geographies and consumer groups as potential home buyers move to the sidelines, some because they can no longer afford a home and others because they were unsure if now it's truly the best time to buy a home. The impact of consumers dealing with issues of financing or fear also extended to our backlog as cancellation rates increased 24% in the quarter. While there are a number of factors influencing housing demand, the rise in mortgage rates has likely had the most significant impact on today's consumers. Based on their commentary, expectations are that the Federal Reserve will continue to aggressively raise rates to control inflation for at least the remainder of 2022 and then likely hold rates higher for longer. Given these market dynamics, we continue to meaningfully adjust our operating practices as we adapt to today's more challenging market conditions. On the sales side, we are working closely with our divisions on a market-by-market and even community-by-community basis to find pricing or buyers are able and are willing to transact. When demand first begin to slow in response to higher rates, incentives in most of our markets were focused on mortgage rate locks and buy downs, as mortgage rates have moved even higher, incentives have extended to other areas, including more aggressive discounting of standing inventory and price reductions. As we move through the third quarter, absorption paces were choppy, but on average, slowed as the quarter progressed. This trend continued into October, although ongoing adjustments to incentives and pricing are gaining some traction with consumers. We've told our divisions to be strategic in their decision-making, but we need to intelligently find the market and turn our inventory. The reality is that, we can't be margin proud, but rather, we need to protect our share of sales within the markets. Housing this front and center in the Federal Reserve's battle against inflation. As the Fed clearly desires, new home sales rates and selling prices are in the process of adjusting lower in response to higher interest rates. With home sales slowing, we are adjusting how we approach ongoing land investment. At the end of the second quarter, we controlled 130,000 lots under auctions. Given the more challenging demand conditions we face today, we are re-underwriting our land deals using price, pace and cost assumptions based on current market conditions, with a view towards assessing whether expected returns still achieve or exceed our required hurdle rates. As a consequence of these reviews, in the third quarter, we canceled agreements accounting for approximately 19,000 lots or 14% of the lots we held via option at the end of the second quarter. In taking these actions, we walked away from almost $800 million of future land acquisition spend. No one wants to write off $24 million of deposits and pre-acquisition spend, but the flexibility to exit these transactions reaffirms the strategic importance of building more optionality into our land pipeline. Homebuyer demand clearly moved lower as the third quarter progressed, but the dramatic and ongoing rise in interest rates likely being the biggest concern for most consumers. However, there are certainly other factors at play, including inflation, fear of recession or increasing concerns about job loss. Given all of these considerations, it is easy to understand why consumers have moved to the sidelines. Having said that, people still desire homeownership and are prepared to buy when they find a compelling offer. Operationally, we are appropriately taking a more defensive posture for at least the near-term as we work to navigate today's more turbulent conditions. We believe this approach is appropriate today, and appreciate that stability whether talking about mortgage rates, the stock market or inflation, maybe what people will need to move off the sidelines and become homebuyers again. Let me now turn the call over to Bob for a more detailed review of our Q3 operating and financial results.
Bob O’Shaughnessy: Thanks, Ryan, and good morning. There's a lot to review this quarter, so I'll dive right in. Home sale revenues for our third quarter totaled $3.8 billion, which represents an increase of 16% over the same period last year. Higher revenues for the quarter were driven primarily by a 15% increase in our average sales price to $545,000. The year-over-year increase in average sales price of $71,000 was driven by improved pricing across all buyer groups as first time was up 20%, move-up gained 16% and active adult was up 15%. Unit closings in the quarter increased by 1% over last year to 7,047 homes. It's worth noting that approximately 200 closings that were slated for the fourth -- the third quarter were delayed due to Hurricane Ian as we shut down or slowed operations across a number of our Florida and Carolina markets ahead of the storm. On a year-over-year basis, the mix of homes delivered in the third quarter changed slightly as 36% were first-time buyers, 38% were move-up buyers and 26% were active adult buyers. In the prior year, 31% of homes delivered were first-time, 44% were move-up and 25% were active adult. The shift in mix to more first time is in alignment with our strategy of having approximately one-third of our business in the first-time buyer space. Net new orders in the third quarter totaled 4,924 homes, which is a decrease of 28% from last year. The year-over-year decline in orders reflect softer demand, resulting primarily from higher interest rates as our absorption pace fell to 2.0 homes per month, down from three homes per month for the same period last year. Along with a slower pace of sales, our reported net new orders in the third quarter were impacted by a significant increase in cancellations. Our cancellation rate for the third quarter was 24%, which compares with 10% in the third quarter of last year and 15% in the second quarter of this year. In the quarter, orders among first-time buyers increased 3% over the prior year as sales benefited from a double-digit increase in community count and the availability of quick move-in homes as the majority of our spec production is in our Centex communities. Orders for move-up buyers were lower by 45% than the prior year, while active adult orders decreased by 31%. Changes in community accounts did not materially impact -- did not materially impact order rates among either of these buyer groups. During the quarter, we operated from an average of 823 communities, which is up 7% from last year. The increase in community count is consistent with our previous guidance and reflects both new store openings and the slower closeout of existing communities. Average community count for the fourth quarter should increase slightly to 840. At quarter end, our backlog totaled 17,053 homes, which is down 14% from the same period last year. While unit backlog is lower, the dollar value of our backlog increased 3% over the prior year to $10.6 billion due to the rise in our average sales prices. We ended the third quarter with a total of 23,010 homes under construction, which is up 22% over last year. Of the units under construction, 65% were sold and 35% were spec. Consistent with comments made on prior earnings calls; we've been working to increase our inventory of spec homes primarily in our Centex communities to better serve first-time buyers. We continued start expects in the third quarter as we have continued to see buyer preference for homes that can close in 30 to 90 days across all buyer groups. At quarter end, we were still well below our commonly used metric of one finished spec per community. However, with 8,000 specs in production, we believe we are well positioned to meet demand and to compete effectively in our markets. Having achieved our targeted level of spec within our production universe, we have now lowered our spec starts and we'll manage our production to maintain the balance of our spec and dirt inventories, with an emphasis on build-to-order production for move-up and active adult consumers. Based on the homes we have in production and current sales rates, we now expect closings in the fourth quarter to be approximately 8,000 homes. The decrease in expected deliveries relative to our prior guide reflects the challenging sales environment, higher cancellation rates and the ongoing impact of Hurricane Ian on our Florida operations. To the last point, while damaged to faulty communities in Florida and the Carolinas was limited, municipal resources are appropriately being diverted to the repair and restoration of services at the expense of getting power to new homes and communities. Based on the mix of homes we expect to deliver in the fourth quarter, we anticipate the average sales price on closings to be in the range of $560,000 to $570,000. At the midpoint of our range, this would be up 15% over last year. Please note that, all of the guidance we provide on this call, including ASP, reflects our current best estimate, but cancellation rates and pricing dynamics as we move through the quarter could impact our actual results. For the third quarter, our homebuilding gross margin was 30.1%, which represents an increase of 360 basis points over the third quarter last year. Referring back to Ryan's opening comments, our third quarter gross margins benefited from the strong demand and pricing conditions that existed at the end of 2021 and into the first half of 2022. These conditions supported the double-digit price increases we show in the quarter and allowed us to cover higher material and labor costs, including elevated lumber prices. The strength of demand in that period can also be seen in our sales discounts, which were only 1% for homes closed in the third quarter. By contrast, discounts on new orders taken in the quarter increased 180 basis points over last year to 2.5%. It's worth noting that, this increase in discounts is in addition to the higher financing incentives we've discussed during our Q2 earnings call. Financing incentives on new orders in the third quarter were 1.9%, which is approximately 80 basis points above last year and our historic average. Given the demand and pricing dynamics we are currently experiencing in the market, in addition to the increase in incentives needed to attract sales, we currently expect our fourth quarter homebuilding gross margin to be approximately 28%. This would represent an increase of 120 basis points over last year, but would be lower sequentially and is down from our previous guide. Given the changing market dynamics, our procurement teams are already having discussions with suppliers and trade partners in an effort to identify opportunities to reduce our land development and house construction costs. However, at this point, any savings we are able to realize would benefit our business in 2023. In the third quarter, our SG&A expense was $350 million or 9.1% of home sale revenues. This compares with prior year SG&A expense of $321 million or 9.6% of home sale revenues. The company remains on track for full year SG&A to be in the range of 9.2% to 9.5%. Given the pullback in buyer demand and expectations that market dynamics will remain challenging for summer all of 2023, we are taking needed actions to better align overheads with current demand. For the third quarter, higher gross margin and greater overhead leverage helped PulteGroup generate an operating margin of 21%, which represents an increase of 410 basis points over the prior year. Turning to financial services. Our operations continue to face extremely challenging market conditions. In the third quarter, our reported pre-tax income totaled $28 million, which is down from $49 million last year. In the quarter, lower loan origination volumes driven in part by a lower capture rate and decreased profitability per loan were the primary drivers of the decline in pre-tax income. Capture rate for the quarter was 77% compared with 85% last year as our mortgage business seeks to be competitive but not to chase unprofitable business. Our tax expense for the third quarter was $183 million, which represents an effective tax rate of 22.6%. Our taxes in the third quarter include federal energy-efficient home credits, which were extended as part of the Inflation Reduction Act that was enacted into law in August of this year. In total, PulteGroup's reported net income for the third quarter increased to $628 million or $2.69 per share. The company's prior year net income was $476 million or $1.82 per share. In the third quarter, we continued our share repurchase activity, buying 4.4 million shares or another 2% of our outstanding common shares for $180 million or an average price of $41.20 per share. Through the first nine months of the year, we have repurchased approximately 9% of the shares we had outstanding at the beginning of the year for $975 million. Along with buying back stock, we invested $1.3 billion in land acquisition and development in the quarter, of which 56% was for the development of existing land assets. As Ryan discussed, in response to changing market conditions, we are re-underwriting every land transaction based on current price, pace and cost dynamics. We ended the third quarter with approximately 232,000 lots under control, which is down 11,600 lots from the end of the second quarter of this year due in large part to the deals we elected to terminate. At quarter end, 50% of our total land pipeline was controlled via option and we continue to work toward our long-term goal of getting to 65% to 70%. While we have terminated a number of transactions, there are land positions that we have under control that we still project to achieve or exceed our required rates of return. As a result, we currently expect to close on such transactions and expect our result in full year land investment to be approximately $4.8 billion, which is in line with our prior guide. Given the change in buyer demand and the resulting impact on the turning of our own land inventory, we currently expect that our land spend will drop materially next year. While we are still in the planning process, our preliminary estimate is that land acquisition and development spend in 2023 will drop by $1.5 billion to approximately $3.3 billion. Of this spend, we expect that upwards of two-thirds will be for the development of existing land assets. We will provide more details on next year's planned land acquisition and development spend during our Q4 earnings call. We ended the quarter with $291 million in cash and had $319 million drawn on our revolving credit facility. Our drawings under the revolving credit facility were driven primarily by our land acquisition and development spend, an increase in our house inventories as we move homes through production and the delay in closings related to Hurricane Ian. Our debt-to-capital ratio at quarter end was 22.5%. Wrapping up the higher interest rates being orchestrated by the Federal Reserve are achieving the Fed's objective in terms of slowing demand and negatively impacting price appreciation in the market. While conditions have gotten tougher, I am confident in PulteGroup's competitive position and in our ability to successfully work through this phase of the housing cycle. Now let me turn the call back to Ryan.
Ryan Marshall: Looking at the tables in this morning's press release, you can see that on a year-over-year basis, our net new orders were lower across the country, although we continue to see relative outperformance in Florida, Texas and the Southeast. Generally, we are faring better in markets where buyers can still find affordability. In contrast, conditions in our western markets are clearly more difficult as price appreciation, generally higher selling prices and the spike in mortgage rates have force buyers to pause their buying plans. The softer demand conditions that we experienced in the third quarter continued into October and have likely gotten even more challenging with mortgage rates now pushing 7%. Running a homebuilding company during this part of an economic cycle is complicated, but we are fortunate to have an experienced leadership team that knows how to operate the business. We are taking action to impact the critical areas of the business, including finding price at a community level where we can sell homes. We will do the best we can to protect backlog, but we won't sit on inventory. With the right level of home inventory to meet demand and to compete effectively, we are aligning starts with the ongoing pace of sales and remain committed to our build-to-order model. We remain disciplined in our approach to land acquisition. It's hard to cancel a land deal that you've worked on for months or even years, but if the return is no longer pencil then we will walk away. We will work intelligently with our suppliers and trade partners to adjust costs given the new market pricing dynamics. And we will continue to evaluate and adjust our overhead spending and changes in current – to changes in current and expected construction volumes. For all the defensive actions we are implementing, I remain constructive on long-term housing demand. While we expect the coming quarters will be difficult for the industry, long-term dynamics for housing remain positive. If the Federal Reserve just pauses, or if the stock market doesn't swing 5% in a single day, or if inflation starts to ease, that might go a long way towards giving consumers enough confidence to get back into the market. While we wait for conditions to stabilize, we will be aggressive in managing our day-to-day business to sell homes, efficiently run our operations intelligently manage land investment and work to deliver high returns. I want to recognize our employees for their tremendous work in delivering a great third quarter. I also want to call out our teams impacted by Hurricane Ian. You have done tremendous work taking care of each other and the communities you serve. Before opening the call to questions, I want to provide a quick comment on the second press release we issued this morning. After a 30-plus year career with our company, John Chadwick, PulteGroup Executive Vice President and Chief Operating Officer, has announced his plans to retire in 2023. John has had an amazing career with our organization, and has been instrumental in its success over the years. I know, I speak for our Board and our entire company in wishing John all the best in retirement. Brandon Jones, Senior Vice President, Field Operations, has been named to replace John effective January 1, 2023, as Chief Operating Officer. Brandon began his Pulte career 18 years ago as the Director of Operations in Arizona and has held a series of field positions of increasing responsibility, including Division President, in several markets and Area President of our Southeast area. Since being named Senior Vice President of Operations in 2021, Brandon has been managing our construction operations throughout the country, so I expect the seamless transition into his new role. John will remain with the company through April of next year to assist with the changeover. We are fortunate to have a deep and talented bench within PulteGroup, and I look forward to advancing the great partnership Brandon and I have built over the years. Now let me turn the call back to Jim.
Jim Zeumer: Great. Thanks, Ryan. We're now prepared to open the call for questions so we can get to as many questions as possible during the remaining time of this call. We ask that you limit yourself to one question and one follow-up. Thank you. And now, Chris, if you will explain once again how to ask questions, we'll get started with Q&A.
Operator: Certainly. [Operator Instructions] Our first question is from Carl Reichardt with BTIG. Your line is open.
Carl Reichardt: Great. Thanks. Good morning everybody. Ryan, can you talk a little bit -- you mentioned October pricing and it's the -- in October, you saw some pricing and incentives in certain markets are starting to have some traction. Can you expand a little bit on that, sort of, where and what you're doing where you might be seeing at least a little bit of stabilization in absorptions?
Ryan Marshall: Yeah, Carl. I appreciate the question this morning. As I mentioned in my prepared remarks, is we've worked through the changing market conditions over the last three to four months, early on our incentives were largely financing-related incentives, things that aimed at buying the rate down, extended rate locks, things of that nature. We felt early on that we were getting traction with consumers, especially when you could provide interest rates that were sub-5%. And in some cases, we were able to even get sub-4% with the incentives. As rates have pushed up into the 7% range, we're finding those things to be less effective. And so we've really focused the majority of our energy on pricing to what we believe current market conditions are. So price rollbacks and price drops. We have been strategic in those, Carl, but as I've talked about, we've worked to protect backlog as best we can, but we really feel it's important to continue to move inventory and to maintain the market share that we've worked so hard to get in the market. It's really those price rollbacks that we've seen get some traction over the last two to three weeks. And so we do feel while it's tough, we are encouraged with the activity that we're seeing.
Carl Reichardt: All right. Thanks Ryan. And then can you talk a little bit about can rates by buyer segment and how those might compare currently to what your long-term averages are? Thanks.
Bob O’Shaughnessy: Yeah. We typically don't give that level of detail, Carl. What we have seen with cans is a little bit of a change versus where we were three months ago, we were seeing churn in the 30 to 60 days. What we have seen is a little bit more cancellation for folks that have been in backlog a little bit longer, and it's that rapid and substantial rate increase from when they signed. So at the end of the day, I think -- I don't think that we're surprised by that, but we have seen a little bit of movement from people that have been in backlog a little bit longer.
Carl Reichardt: Okay.
Ryan Marshall: The one comment I would offer to that, Carl, is we have historically seen the lowest can rate out of our active adult consumer that's a buyer that's not as heavily dependent on financing. That's been consistent over the years, and the trends that we're seeing today continue to support that.
Carl Reichardt: Great Ryan. Thanks a lot guys. Appreciate it.
Ryan Marshall: Thanks Carl.
Operator: The next question is from Stephen Kim with Evercore ISI. Your line is open.
Stephen Kim: Yeah. Thanks a lot, guys for all the color and good job in the quarter in a tough market. Wanted to ask you a question related to your strategy going – your strategy in light of the tremendous mortgage rate volatility that we've seen. I mean, obviously, in the last couple of months, it's just been volatility to the upward direction. But with the spreads over the 10-year treasury being what they are, there's a lot of thought that you might see a drop actually in mortgage rates at some point, tough to predict. You don't want to assume that, but I was curious to what degree you're ready for that, if it were to happen in the next several months. So, do you have a marketing plan to be proactive in the event you do see rates drop, let's say, mortgage rates drop back into the low sixes, let's say? Do you have a list of buyers who couldn't qualify today but could if you had a lower 6% rate? And can you give us a sense for how big that list might be?
Ryan Marshall: Well, Stephen, let me maybe just start with saying we've got – we've got a really outstanding sales and marketing team that has always focused on the basics of working our entire lead funnel. And that hasn't changed in good market times or even these more challenging market times. So our ability to get relevant and timely messages out to our sales funnel, I'm very confident in our ability to do that. So if we're so fortunate to see rates drop. I know that, we can get the right messaging out to let folks know are – we really emphasize and push with our local sales professionals as well to maintain the relationships with our lead banks and with our interested buyers at a very local and personal level. So I think there's multiple ways using kind of the big bullhorn of the corporate marketing platform, but you've also got the grassroots local relationships with our sales professionals. Maybe just the last thing is I think the market itself, if we were so fortunate to see rates come back I think we'll probably be the greatest marketing machine of any of them.
Stephen Kim: Yeah. Yeah. Hopefully, people have their ear to the ground. Great. Secondly, can we talk about production, could you give us your sticks and bricks figure to start with? And then when I look at your level of homes under construction, your inventory homes – or I'm sorry, your spec levels per community, the number of total specs you have per community. You were at 9.8%, if I – if my math is right, that's pretty significantly higher than what you were running at pre-pandemic, but you're also intentionally doing more specs. So I'm curious, what is the level of specs per community that – this is total specs, by the way, that we could expect by the end of the year?
Ryan Marshall: Stephen, Jim will give you the sticks and bricks, and then I'll take the second piece of the question.
Jim Ossowski: Under production, we've got $3.164 billion, and then we have another $328 million in models for sticks and bricks.
Ryan Marshall: And then, Stephen, as to your question on our level of spec inventory, we're – we've been talking for the better part of the last two to three quarters about our desire to have more spec inventory in the system. Over the last three to four months as the market has slowed we've seen a real preference for homes that are able to deliver in the next 30 to 90 days, and that continues to this very moment. In terms of the inventory we have in our system, 35% of our leap [ph] is spec, and that is right where we want to be. So we feel very comfortable with respect to that. Looking at the finished inventory, we continue to have less than one finished home per active community, which has always been our historical benchmark. So we also feel comfortable that we're not under any pressure with finished inventory. We continue to see good flow-through of our sales rate of specs that are being sold and that are delivering in the near term, which is a real positive for us. And then maybe just the last thing, Stephen, and you've seen this transition over the last couple of years, as we've moved more of our business to the first-time entry-level product, we've intentionally put more spec inventory into those first-time entry level communities. And certainly, that's where the higher percentage of our spec inventory resides. So we feel comfortable with that. The last thing and I highlighted in my prepared remarks, as it relates to forward starts of new inventory, we've significantly slowed that, and we're matching that to what our sales rate is. So we think we've done exactly what we said we were going to do and we've made additional adjustments based on how we see market conditions at the moment.
Stephen Kim: Great. Thanks very much guys.
Operator: The next question is from Michael Rehaut with JPMorgan. Your line is open.
Michael Rehaut: Great. Thanks. Good morning everyone. Thanks for taking my questions. I wanted to start, and I apologize if I missed this earlier, but just what as a percent of price or sales price, what were incentives running during the quarter and where did you end, and if that includes price adjustments as well?
Bob O’Shaughnessy: Yeah. So in the most recently printed quarter today, third quarter, our incentive load was 1% on closing. And that is a little bit better than last year, 30 basis points better than closings during the third quarter of last year. What we did highlight was on the sales in this quarter, so not the closings, but the sales that rate ran up to about 2.5%. So running higher and also that financing incentives, and we talked about this in the second quarter, we're up over sales in the third quarter of last year, so that the total load of incentive is up on current sales, by a couple of hundred basis points versus the closings that we had in this quarter. So then that will influence our business over that couple of quarters as those homes close.
Ryan Marshall: Mike, the only -- in addition to Bob's comments, I'd just highlight that as we make price adjustments, those adjustments are made to base price. And so those adjustments aren't going to necessarily show up in the incentives that Bob just described. And we've talked about it for the last several quarters as well as we're opening new communities, which there are a fair number of those. We've been very intentional in pricing to the current market such that you have -- what we believe is a more normal incentive load.
Michael Rehaut: Right. That's -- I appreciate that. I mean that's exactly what I was trying to get at in terms of where you are today. You kind of mentioned that, as the quarter progressed, you took perhaps a little bit more of an aggressive posture and as I said, trying to meet the market with price reductions and I'm sure price adjustments. So just trying to get a sense, I guess, as you've taken those actions maybe over the last 30, 45 days, if you could give us any sense in terms of what percent of ASP, those price adjustments or reductions might have amounted to at this point? And I would assume that that's something that we wouldn't see in the gross margin until the first half of next year?
Bob O’Shaughnessy: Yeah, Mike, it's – there's so much detail behind that, where – what the price points are. You can see, though, our sign-up – average price for sign-ups is down by about 6%. That certainly reflects some of the current pricing. You have to be a little bit careful because our sign-ups were a little bit more skewed towards first time, and so mix matters in that. So I wouldn't want to put a number on x percent down, because it really varies by market, by community. But again, you can see that ASP is likely to come down and there will be some margin consequence. And you can see it in the guide that we gave, where we at 28%.
Ryan Marshall: And then Mike, to your margin question, yes, a lot of that will certainly be next year for homes that are on a build-to-order model. If it was a spec home, then those will show up more likely than not in the fourth quarter, and that is incorporated into the margin guide that Bob gave for the fourth quarter. Depending on kind of the nature of the adjustments we've made, some of those incentives also have flown into backlog as we work to protect the backlog and get those homes closed as well. That's also incorporated into the guide for the fourth quarter.
Michael Rehaut: Great. One last quick one, if I could. Order trends by month, sometimes you were able to give that out. Just you kind of mentioned that, there was few differences a little bit as rates kind of fluctuated a little bit during the quarter. Just trying to get a sense of year-over-year trends and as you say that October kind of remained a little soft, if any sense of that type of number as well?
Bob O’Shaughnessy: Yeah. Without getting into the detail month by month, I think you heard it in Ryan's prepared comments. The demand equation followed the rate movements. And so you saw a little bit of a dip in rates in August. We saw some activity around that, where people came off the fence as rates progressed higher after that, we saw a relative decrease in demand.
Operator: Next question is from Matthew Bouley with Barclays. Your line is open.
Matthew Bouley: Good morning, everyone. Thanks for taking the questions. I wanted to ask on this $24 million write-down, obviously, small kind of in and of itself. But can you kind of speak or sort of how do you think about the risk of maybe larger write-downs occurring in that particular bucket where you saw it in the deposits bucket? And then ultimately, as this market evolves from here, what's the risk of write-down spreading to sort of the owned land portfolio? Thank you.
Bob O’Shaughnessy: Yeah. It's interesting. The market will tell us that. I don't want to predict. We've got obviously call it, $400 million, $450 million of total money at risk around option deals. So that's going to be pre-acquisition spend, legal, et cetera, as well as deposits. You heard us say and we've been doing this for a while now, we're reevaluating every land transaction. And it's interesting because we made the point in the prepared remarks we have been closing on a lot of transactions. And our expectation is that we will for the balance of the year, there will be some stuff that we walk away from. I wouldn't want to try and quantify it. But part of the reason our land spend is projected to go down next year is because it's getting harder to make stuff work, especially in things that were negotiated more recently. So as that stuff comes to the table, I think we're going to have some questions to answer internally as to whether it still meets our return requirements. The good news is, and again, it was in Ryan's prepared remarks, the 11,600 lots that we walked away from had a land act spend of $800 million. And if we had bought all that land at a point in time, that might have been some tough markets that we would have had to work through. So we feel -- and Ryan said it, we don't feel good about a $24 million charge. Having said that, having to work through $800 million of land with, oh, by the way, a lot of development spend on top of that. So we feel like it's actually operating the way we are as we look at the market, we're trying to get more of that optionality into our book. We've targeted 65% to 70%. We're pushing our teams to look for optionality, whether it be in time or take down. So I think -- I don't want to guess at what the market is going to bring to us. We'll work through each transaction as we go.
Matthew Bouley: Got it. That's very helpful. Thanks for that Bob. And then I guess the second one zooming into the margin guide. I think the Q4 guide is for -- margin is down 200 basis points sequentially. I know you mentioned everything around incentives and the change in price, perhaps more impactful to 2023. I think, Ryan, you just said that there's certainly some spec impact there in the Q4 guide. But just given a lot of these changes won't flow through into 2023, I'm just curious if you can bridge us to that 200 basis points decline in Q4 and why this margin decline is happening this quickly? Thank you.
Ryan Marshall: Yeah, Matt, it was really wrapped up and I think the prior answer that I gave. As we looked at what we'll close in the fourth quarter, it incorporates specs that have been sold, some specs that still need to be sold, as well as some adjustments that flowed through the backlog based on pricing adjustments that we made in active communities. Those are the big drivers that are influencing the Q4 guide. The only other piece that I would add is there's a little bit of continued labor pressure with back-end trades, specifically the finished trades for what is still a pretty heavy load of inventory that's moving not only through our production machine, but the industry's production machine. We are starting to see some of that subside on the front end of things as starts have started to come down, and it's given us better ability to have productive conversations with front-end trades, as we work to pull costs back that are responsive to the dynamic environment that we're seeing.
Matthew Bouley: Got it. Thanks, Ryan.
Operator: The next question is from Anthony Pettinari with Citi. Your line is open.
Anthony Pettinari: Good morning. As demand has slowed and you've pulled the price lever to maintain volumes, is there a base level of absorptions we should think about as being a floor before you start to maybe see some diseconomies of scale? And is it possible to talk about what you see as maybe an ideal absorption pace, understanding it's a very dynamic market?
Ryan Marshall: Yeah, Anthony, it's a fair question, and I'll go back to what I think we've talked about for years. We really look to maximize return and so we're focused on both the pace and the price kind of levers. I would tell you, we'd like to see more volume than what we're currently seeing. But as I highlighted in our prepared remarks, we're trying to be strategic and take a long-term view of that's really underpinned by what we still see as a very positive housing market. Unfortunately, we've had a doubling of interest rates in 10 months, which we've never seen in this country, at least not in the last four years. And that's coming on the heels of an unprecedented global pandemic. It's created certainly some dynamics that we're being responsive to, but we're not going to overreact.
Anthony Pettinari: Okay. Okay. That's helpful. And then just following up on your comment on trades and some of those discussions becoming more constructive, can you quantify the extent to which your cycle times increased in the quarter or decreased, if at all? And would you expect a shortening of cycle times maybe in 4Q or early next year?
Ryan Marshall: Anthony, we're – as I highlighted in maybe my previous question, we're continuing to see some back-end labor pressure with the finished trades. And then at the current environment, we haven't seen a bunch of progress with cycle times. We're still running right around six months, which is kind of unchanged from where we were in the prior quarter. I wouldn't expect to see any improvement in Q4. There's just too much production still on the machine. I am very focused with our production teams to claw back cycle time in 2023. So my hope would be by the time we hit Q2, Q3, Q4 of next year, we're starting to see some meaningful kind of quarter-over-quarter improvement as we get back to more typical cycle times. So I'm confident based on the drop in volume, but also just the healing of the supply chain, which continues to get better and better – that, that can become a reality in 2023 and beyond.
Anthony Pettinari: Okay. That's helpful. I’ll turn it over.
Operator: The next question is from Ivy Zelman with Zelman & Associates. Your line is open.
Ivy Zelman: Thank you. Good morning, guys. I appreciate all the information. Maybe, Ryan, you could just speak to sort of broadly the consumer that has already put an order in – in backlog and the cancellations that you're seeing. Is this a function of how much of a function of not being able to afford the monthly payment versus how many people are just getting cold feet and walking away from built in equity? And then just more broadly, I get a lot of questions from clients, if you look at where rates are today, approaching 7%, what has that done in general to prospective buyer pool? Like where do you see? Is it now 25% of prospective buyers can't afford you more? I mean we see affordability as probably the most stretch it's been going back several decades. So maybe you can help us understand what needs to happen with respect to getting buyers more comfortable given such elevated pricing and the dynamics that led us here?
Ryan Marshall: Yeah, Ivy, thanks for the questions. I appreciate it. In terms of the cancellations that we're seeing, it's both. We're absolutely seeing buyers that can no longer afford, we're also seeing buyers that still can't afford, but they've gotten cold feet for whatever reasons. And in many cases, they're walking away from pretty sizable earnest money deposits that economically don't make a ton of sense, but that's where you really get into the psychology. They're just not confident in making a purchase. I'd tell you, as we look at the trends over the last couple of quarters, we haven't seen a noticeable or a significant change in the mix of reasons why folks are canceling. That's been pretty consistent. In terms of the buyer pool, Ivy, it's understandably less, and I'll specifically focus on who can afford as the industry is going through some pricing adjustments, I think we are working to get more people into that pool. The pool that's harder to quantify, and I'm not even going to attempt to guess is how many people are on the sideline because of psychological fear. Those folks just aren't engaging with us. They're waiting. And as I highlighted in some of my prepared remarks, I think the only way we get that buyer back into the market is through stability and those are unfortunately things that we don't directly control. So -- and we've highlighted what we think they are.
Ivy Zelman: No, that's helpful, Ryan. And just if I could just follow-up on my second question as it relates to underwriting land right now and appreciating that you've taken some option on abandonments. Given the returns that are currently forecasted with the new pricing on communities that have not been yet open, but are slotted to be open? Are we talking gross margins that would hit the return requirements because you have always been underwriting to a much lower gross margin than you're currently, obviously, achieving? So should we expect margins to be more normalized on whatever you're moving forward with new communities given the pricing environment, or is there a risk that could even be below normal at this point? Maybe you could just qualitatively give us some direction?
Ryan Marshall: Yeah, Ivy. What I'd highlight is we underwrite return, we've never underwritten the margin. And so the screen that we're using in the current environment is we're using current pace and price against the historical return on invested capital screen and risk grid that we've always used. And we have not compromised on that. The -- so the deals that we've elected to walk away from simply don't meet that screen. The ones that we've elected to move forward with, by and large, continue to meet our return-based screen and that includes margins that are all over the board in terms of the historical range that we've typically operated. And Bob, anything you'd add in terms of underwriting? So hopefully, Ivy, that helps in terms of your question.
Operator: The next question is from John Lovallo with UBS. Your line is open.
John Lovallo: Good morning, guys. Thank you for taking my questions as well. The first one is just given the more cautious near-term stance, pulling back on land spend, which is clearly prudent in our view. I mean, where do you intend to allocate the capital? I mean, could you be more aggressive on buybacks or continue to be aggressive on buybacks?
Bob O’Shaughnessy: Yeah. We'll go through the same exact exercise we always have. It's interesting we highlighted in this call. We are out on our revolver, which is – we started borrowing a little bit last quarter. We're actually out on the line today first and foremost, we'll pay that off. Our expectation is that we'll be able to do that in short order. Then what we always do is look at what the next several years. So it's not a point in time, capital generation and usages and we'll consider investment in land. We've highlighted that we think spend is going to be down, we'll be building and monetizing our backlog. So we think we're going to be cash flow positive. And so we'll look at the capital base that we've got and what to do. And we'll have choices. We can – we will obviously continue our dividend. We can look at share repurchases. We will also be looking at our leverage. Obviously, the run-up in rates makes our debt a little more attractive on a pricing basis. Not suggesting, we're going to do anything, but it's – and we look at these things consistently through time, and we'll consider all those things. But I think you can – should expect to see us in market for equity, and we'll look at any other use of cash at the same time.
John Lovallo: Okay. That's helpful. And then just kind of thinking about your overall land spend strategy now and just land in general, are you actually pulling back on community openings – communities that were slated to open? Are you holding back those given the demand environment?
Ryan Marshall: Not at all. We're continuing to move forward with it and open those communities. And in fact, some of the communities that we've recently opened have been some of our brightest and best performers, which is really encouraging. I think there's two reasons for that, John. One, these are good communities and good locations that have got great interest lists that we've been working for a long time referencing back to the marketing comment that was asked a little bit ago. We've also been very deliberate in making sure that we're pricing the current market. Now, we do that all the time when we open up new communities, but especially in light of the current environment, when we're opening, we're making sure that we're opening at a value, and we've seen traction there. So communities that are opening today have been in our pipeline for a long time. They were bought right. They were arguably developed at a pretty attractive cost basis as well. And so we can continue to deliver nice margins and more importantly, good returns out of those communities.
John Lovallo: Great. Thanks, guys.
Operator: The next question is from Mike Dahl with RBC Capital Markets. Your line is open.
Mike Dahl: Good morning. Thanks for taking my questions. My first question, just maybe a follow-up on Ivy's questions around cancellations and maybe it's – I don't know if it's a terminology issue in terms of talking affordability versus outright qualification – challenges, but Ryan or Bob, could you address what percentage of your cancellations or as you're kind of hearing from the field around prospective buyers, how you're seeing outright inability to qualify impact versus just a, hey, maybe I can qualify, but I can't actually afford the x dollars a month in incremental payments.
Bob O’Shaughnessy: Looking. I don't -- we're going to have to get back to you on that. What I could tell you is that it is again, running at a consistent percentage. We haven't seen a run up in the percentage of people who just don't outright qualify or rejections. So -- but what the relative percentage of that is, I don't know off the top of my head.
Mike Dahl: Okay, got it. And then in terms of thinking through as are, obviously, pretty diversified in your market exposures in past cycles, you've seen builders of exiting markets during contraction periods. When you look at your land positions, when you look at some of the relative results across some of these markets, obviously, everything is getting hit, but some things harder than others. Are you at the point where you're evaluating whether or not certain markets makes sense, or maybe if there's any other regional color you can provide around something like that?
Ryan Marshall: No, Mike, we actually feel really good about our geographic footprint. We've entered into several new markets over the last three to four years, and we're as confident in those today as we were when we made the decision to go there. A lot of the places that we've entered into in recent years have been places that have had really attractive job growth and really nothing's changed along those lines. There are also places that are attractive climates. They generally tend to be more affordable places and there are locations that are predominantly in the Sunbelt. So we think our new market expansion strategy still makes a ton of sense. In terms of our existing markets, we're really happy with them. I wouldn't -- I don't know that I have any real additional color to add in terms of the geographies that are doing well versus not other than what I highlighted in my prepared remarks. The Western markets are the toughest for sure. I think that's been widely reported by -- for many sources. We're also seeing relative softness in the Northeast, some of the more expensive locales. The Southeast, Florida, Texas, relatively or performing better for a lot of the reasons that I just touched on as with my comments on expansion markets.
Mike Dahl: Okay. Thank you.
Operator: Final question today is from Truman Patterson with Wolfe Research. Your line is open.
Truman Patterson: Hey good morning, everyone and thanks for taking my questions. First, we've had a nice run of lower realtor and broker commissions throughout 2021 and the first part of 2022. I'm just seeing if you all started to pull that lever to help augment sales, especially with quick move-in homes are generally preferred by realtors. So just seeing if you're increasing commissions there? And if so, what impact that could be to SG&A?
Ryan Marshall: Truman, the view that we've had on realtor commissions through time is to be balanced with it. We certainly appreciate when relators are the procuring cause or our – truly bring kind of a buyer into our sales office and help with that process. We've paid, I think, a market competitive broker commission. We're still in the same position today. So there's certainly cases here and there where you may have an above average broker commission, as an incentive to move a particular property that's got a unique set of circumstances, but broadly, you won't see us as a strategy employ above average broker commissions.
Truman Patterson: Got you. Okay. But for the industry, has it generally kind of ticked up across the board or specific bonuses, et cetera?
Ryan Marshall: I think it depends on the market and it depends on the builder. I think there are certain builders that part of their strategy – their marketing strategy is largely directed toward outsized or above average broker commissions. So as the market gets tougher, you're seeing certain competitors that use that as maybe their primary marketing tool, you're starting to see those bigger numbers come into play.
Truman Patterson: Okay. Okay. Got you. And then could you all discuss – Ryan, you mentioned earlier about negotiations with trades and building products. But – could you discuss if you're getting any early traction on the price negotiations of any specific trades like framers or materials, building product categories – really outside of lumber?
Ryan Marshall: Yes, Truman, it's really the – we've been talking with all of our trades, but I would tell you the more kind of recent and impactful conversations have been with the front-end trades – so underground plumbing foundation up through shell, exterior shell, those conversations have been frequent and helpful. Those are the trades that are feeling the slowdown in the industry right now. And so as they evaluate their kind of business situation and kind of the volume that they would like to be doing and what efficiencies look like. We're engaged in what I would tell you, are productive conversations. We need to pull cost out of housing generally. That's our organization, and that's our trades as well. I think we can all appreciate that we've seen unprecedented inflation, both in materials and labor. And those costs are real. And so I think we're trying to take a pragmatic but very intentful approach in how we try to pull cost out of the system.
Truman Patterson: Okay. Got you. Thank you. And good luck in the upcoming quarter.
Ryan Marshall: Thank you, Truman.
Operator: That concludes our question-and-answer session. I'll turn it over to Jim Zeumer for any closing remarks.
End of Q&A:
Jim Zeumer: I appreciate everybody's time today. So we could not get through all the questions, but we'll be available over the remainder of the day. Certainly, feel free to call or e-mail. Outside of that, we will look forward to speaking with you on our next call. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.